Operator: Good morning and welcome to the GEO Group Second Quarter 2016 Earnings Conference Call [Operator Instructions]. I would now like to turn the conference over to Pablo Paez, Vice President of Corporate Relations. Please go ahead.
Pablo Paez: Thank you, operator. Good morning, everyone and thank you for joining us for today's discussion of the GEO Group's second quarter 2016 earnings results. With us today is George Zoley, Chairman and Chief Executive Officer; Brian Evans, Chief Financial Officer; Ann Schlarb, President of GEO Care; and David Donahue, President of GEO Corrections & Detention. This morning we will discuss our second quarter results and current business development activities. We will conclude the call with a question-and-answer session. This conference call is also being webcast live on our website at www.geogroup.com. Today we will discuss non-GAAP basis information. A reconciliation from non-GAAP basis information to GAAP basis results is included in the press release and supplemental disclosure we issued this morning. Additionally, much of the information we will discuss today, including the answers we give in response to your questions, may include forward-looking statements regarding our beliefs and current expectations with respect to various matters. These forward-looking statements are intended to fall within the Safe Harbor provisions under securities laws. Our actual results may differ materially from those in the forward-looking statements as a result of various factors contained in our Securities and Exchange Commission filings, including the Form 10-K, 10-Q and 8-K reports. With that, please allow me to turn this call over to our Chairman and CEO George Zoley. George?
George Zoley: Good morning to everyone and thank you for joining us on this call. We are very pleased with our strong second quarter results and outlook for the balance of the year. Our robust financial performance reflects continued growth in our diversified business segments as well as improved occupancy in a number of our facilities, which is reflective of the ongoing demand across our real estate portfolio. Our year-over-year growth has been driven by the activation of several important projects by our business units of GEO Corrections and Detention in GEO Care. Over the past year GEO Corrections and Detention has activated more than 8,000 beds at five facilities across five different states. These projects include the reactivation of two company owned facilities in Oklahoma in Michigan. The opening of two company owned expansions in California and Texas and the assumption of the management at the Kingman Prison in Arizona. Our GEO Care business unit has also experienced significant growth over the last year with our reentry in community supervision divisions, growing their existing market shares. Additionally, over the last several quarters, GEO Care has implemented a new program under partnership with the Department of Homeland Security for the provision of community based case management services for families going through the immigration review process. This program is represented of GEO Care’s leadership in the provision of community based and case management services through our comprehensive GEO Continuum of Care. Internationally, we’re continuing to develop the $650 million Ravenhall Correctional Facility for the State of Victoria in Australia, which as we have discussed in the past will include an $88 million investment by GEO. The facility remains on schedule for reactivation in the fourth quarter of 2017, and we will begin operating the facility under a 25-year contract following its completion. Once operational, the Ravenhall facility is expected to generate approximately $75 million in annual revenues and will be the premier GEO Continuum of Care offender rehabilitation facility in the world. All of these projects underscore the diversified nature of our services and our ability to deliver real estate and programmatic solutions across the entire spectrum of corrections, detention, community reentry, and offender rehabilitation services. As the world's largest provider of detention in correctional services in prison as well as in the community, we remain focused on combining investments in government infrastructure with best-in-class social services. Our financial performance continues to be underpinned by our company's diversified platform of real estate and programmatic services, which has allowed us to capture growth opportunities across multiple market segments. The strength of this platform has positioned us to continuously enhance value for our shareholders. We are proud that our continued earnings and cash flow growth has allowed us to grow our diversified dividend payments to currently pay the highest dividend in our industry of $2.60 per share on an annualized basis. At this time, I would like to turn the call over to Brian Evans.
Brian Evans: Thank you, George, and good morning to everyone. As disclosed in our press release today, we reported adjusted funds from operations for the second quarter of 2016 of $0.91 per share, which represents a 17% year-over-year increase. We reported adjusted EPS for the second quarter 2016 of $0.53 per share, which represents a 23% year-over-year increase. Our adjusted EPS excludes a loss on extinguishment of debt associated with our April bond offering and the tender offer for our 6.58 senior notes, which we’re due in 2021. Our revenues for the second quarter of 2016 increased to approximately $548 million from $446 million a year ago. Our construction revenue for the second quarter 2016 was approximately $72 million. As a reminder, our construction revenue is related to our Ravenhall project in Australia and has a little or no margin. For the second quarter of 2016, we reported NOI of approximately $138 million or a 14% year-over-year increase. Compared to second quarter of 2015, our second quarter 2016 results reflect the reactivation of the 1940-bed Great Plains and the 1748-bed North Lake Correctional Facilities in June of 2015. The activation of the 640-bed expansion of the Adelanto detention facility in July of 2015, the activation of the 626-bed expansion of the Karnes residential center in December 2015, the assumption of operations at the 3,400-bed Kingman Arizona prison in December 2015, the new GEO Care contract with the Department of Homeland Security for case management services in November 2015, and $72 million in construction revenue compared to $20 million in construction revenue for the second quarter of 2015. These revenues for both periods are associated with our Ravenhall Prison Project in Australia. Moving to our outlook for the balance of the year, we have increased our full-year AFFO guidance to a range of $3.59 to $3.64 per share. We have also increased our full-year adjusted EPS guidance to a range of $2.02 to $2.07. We expect full-year revenue to be approximately $2.18 billion, including approximately $267 million in construction revenue related to the Ravenhall Project. Our previous guidance included approximately $6 million per quarter in pass-through expenses on a gross revenue and expense basis. Our revised guidance reflects these expenses on a net revenue basis consistent with our accounting. There is no impact to our earnings for AFFO as a result of this change to our guidance. For the third quarter of 2016, we expect total revenues to be in a range of $565 million to $570 million, including approximately $84 million in construction revenue related to the Ravenhall Project. Our third quarter 2016 AFFO is expected to be in a range of $0.92 to $0.94 per share and we expect earnings per share for the third quarter of 2016 to be between $0.52 and $0.54 per share. For the fourth quarter of 2016, we expect total revenues to be in a range of $550 to $555 million, including approximately $71 million in construction revenue related to the Ravenhall Project. Our fourth quarter 2016 AFFO is expected to be in a range of $0.92 to $0.95 per share and we expect EPS for the fourth quarter 2016 to be between $0.52 and $0.55 per share. With respect to our liquidity position, we continue to have ample borrowing capacity of approximately $400 million under our revolving credit facility in addition to an accordion feature of $450 million under our credit facility. Our net leverage stepped down from 4.9 times to 4.7 times during the second quarter driven by the continued growth in our EBITDA. With respect to our uses of cash, we expect our project and growth CapEx to be approximately $30 million in 2016, of which approximately $20 million was spent during the first two quarters of the year. We also have approximately $17 million in scheduled annual principal payment. As it relates to our dividend payment, as we announced a couple of weeks ago, our board has declared a quarterly cash dividend of $0.65 per share or $2.60 annualized. Finally, for those investors new to GEO, I'd like to briefly touch upon what we believe are our company's attractive investment characteristics, which are underpinned by our real estate portfolio of company-owned facilities, having a physical useful life of as long as 75 years or more. We currently own or lease approximately 70% of our facilities worldwide and we have stable and sustainable income through increasingly longer term contract arrangements. We have a diversified base of investment grade customers and have historically enjoyed occupancy rates in the mid to high 90s in customer retention rates in excess of 90%. With that, I will turn the call to Dave Donohue for a review of our GEO Corrections and Detention segment.
David Donahue: Thanks, Brian, and good morning to everyone. I’d like to address recent project activations, major contract rebuilds, and select publicly known business development opportunities. GEO is the largest detention operator for the U.S. Federal Government agencies, including the Federal Bureau of Prisons, U.S. Immigration and Customs Enforcement, more commonly referred to as ICE and the U.S. Marshal Service. Our business relationship with these three federal agencies now spans three decades. Additionally, we own and/or manage correctional facilities for 10 states including Florida, Georgia, Louisiana, Oklahoma, Arizona, New Mexico, California, Vermont, Virginia, and Indiana. Our business relationships with our state customers began in the mid-1980s and now involve more than 20 facilities that are almost all medium security or higher. With respect to international business, GEO is the only U.S. publicly traded company providing corrections and detention services overseas. We presently operate in the U.K., Australia, and South Africa. As it relates to our recent project activations, during the first half of the year, we completed the activation and ramp-up of the 3400-bed Arizona state prison in Kingman under a seven-year managed-only contract with the Arizona Department of Corrections. At full occupancy, the facility is expected to generate net annualized revenues to GEO of approximately $49 million. Moving to our company-owned Karnes ICE Residential Center for which we completed a $32 million expansion in the fourth quarter of last year. As you may remember, the center began operating with the new fixed monthly payment under a new five-year contract, which was effective on November 1st of last year, resulting in approximately $57 million in annualized revenues. As we have updated you during prior calls, we had previously submitted an application to the State of Texas for the licensing of a facility as a family residential center. During the month of May, the State of Texas approved our license application making the Karnes Residential Center the first licensed family residential facility in the State of Texas. While there is currently a legal case pending regarding the state's licensing process, we're very proud that our Karnes center was the first to be licensed as the family residential center in the State of Texas and now the only licensed facility in the country. It's important to note that the licensing process was only added as a step to the standards of compliance, the center already –– adhered to under ICE’s family residential standards. The center operates as a short-term processing facility. Moving now to major contract rebids, as we have previously discussed, the BOP had issued Criminal Alien Requirement 16 or better known as CAR 16. The CAR 16 procurement involves the rebid of several contract facilities totaling more than 10,000 beds with contracts that expire during 2017. The procurement includes our company-owned 3500-bed Big Spring Correctional Center in Big Spring Texas. CAR 16 also includes the 3600-bed Reeves County Detention Complex, which is owned by Reeves County Texas. Reeves County has two separate contracts with the Bureau of Prisons involving the 3,600 beds. GEO is a subcontractor to Reeves County and provides management services under a fee-only arrangement for the provision of approximately two dozen management positions. All other employees of the Reeves Complex are employees of Reeves County. Proposals were submitted in June of 2015 and a decision on the CAR 16 procurement is expected sometime during the third or fourth quarter of 2016. With respect to future growth opportunities, we currently have approximately 3,000 beds in idle facilities and have several active efforts to redeploy this available capacity. There are a number of publicly known opportunities in the U.S. and overseas we are currently pursuing, totaling several thousand beds and we are also exploring a number of nonpublic opportunities that relate to both project and development and potential asset purchases. At the federal level, ICE has issued procurement for a 1,000-bed detention center in the Houston Texas area. This is a rebid of the ICE Houston Contract Detention Facility. The RFP requires proposed facilities to be within a 50-mile radius of the ICE Houston office, comply with the most recent ICE detention standards and provide extensive ICE offices and support areas. We expect that a decision on this procurement could be made during the third quarter of this year. In addition to this procurement, ICE has indicated a need for new facilities in the Chicago and New Jersey areas totaling approximately 1,800 beds. We are continuing to monitor these potential opportunities. Moving to the state level, several states continue to face capacity constraints with inmate population growth and many of our state customers require additional beds as aging inefficient prisons need to be replaced with new more cost-efficient facilities. For instance, in the states we currently operate, the average age of state prisons ranges from approximately 30 to 60 years. There are several states, including Arizona, Ohio, Michigan, and others, which are considering public-private partnerships for the housing of inmates, as well as the development and operation of new and replacement correctional facilities. In Ohio last year, the legislature approved the sale of a state-owned prison totaling 2,700 beds. This opportunity would represent the second such sale of the corrections’ asset for the state of Ohio. And RFP for this project is expected to be issued in the second half of this year. In Michigan, the legislature recently passed budget language directing the state to explore options for the potential lease or purchase of available private correctional facilities in state to replace older more costly facilities. Finally, at the local level, Hamilton County Tennessee is exploring a public-private partnership project for the development of replacement jail facilities totaling approximately 1,700 beds. With respect to our international markets, our GEO Australia subsidiary has continued to work on our project for the development and operation of the new 1300-bed Ravenhall Prison near Melbourne. This large scale project is expected to be completed in late 2017 and will provide an unprecedented level of in prison and post-release rehabilitation programs. The project is being developed under a public-private partnership. GEO will make an investment of $88 million with expected returns on investment consistent with our company-owned facilities. Also in Australia, the state of New South Wales has issued procurement for a 1,700-bed facility known as the Grafton Prison. This large scale project will be developed under a public-private partnership structure similar to our Ravenhall Prison Project in Victoria and result in a 20-year contract. GEO is pleased to have been approved to be on the shortlist of three bidders who are required to submit proposals by this November. Also we have been approved to be on a list of three bidders for the 400-bed John Morony Facility in New South Wales, which is a management only opportunity with proposals due in February 2017. At this time, I will turn the call over to Ann for a review of our GEO Care segment. Thank you.
Ann Schlarb : Thank you, Dave, and good morning everyone. As you may remember, our GEO Care segment is comprised of four divisions. Our GEO reentry division manages 21 halfway houses totaling over 3,000 beds and over 60-day reporting centers nationwide with the ability to serve approximately 4,000 participants. Our youth services division oversees 12 residential facilities with approximately 1,300 beds and seven non-residential programs with approximately 1,200 participants. Our BI division monitors approximately a 142,000 offenders under community supervision, including 102,000 individuals through an array of technology products, including radio frequency, GPS, and alcohol monitoring devices. Finally, our GEO continuum of care division oversees the integration of our industry-leading evidence-based rehabilitation programs both in prison and through our community-based and post-release services. We continue to be enthusiastic about the opportunity to expand our delivery of offender rehabilitation services through the GEO continuum of care. We believe that our focus on improved offender rehabilitations and community reentry programs is in line with current criminal justice reform discussions. We view these discussions as positive and believe these efforts will create growth opportunities for our company. Each of our divisions continue to pursue several new growth opportunities. GEO re-entry continues to work with existing and prospective local and state correctional customers to leverage new opportunities in the provision of community reentry services. These services are provided to real estate and programmatic solutions and residential settings, as well as case management and support services in non-residential day reporting centers. We are pursuing several new opportunities for residential re-entry centers at the state and federal level and for new day reporting centers primarily at the state and local level. These new opportunities total more than $30 million in potential annualized revenues. Our youth services division continues to work towards maximizing the utilization of our existing asset base. Our youth services team has undertaken a number of new marketing initiatives aimed at increasing the overall utilization of our existing new services facilities. These important efforts have resulted in stronger census at our Ohio, Texas, and Colorado facilities over the last couple of years. We're pursuing additional referrals working with local jurisdictions for our Pennsylvania facilities and are exploring additional expansion opportunities of our community-based programs in Ohio. Finally, our BI subsidiary continues to grow its supervision electronic monitoring services at the local state and federal level nationwide. BI is currently bidding on new business opportunities in the District of Columbia, as well as a number of other jurisdictions. With respect to our contract for the intensive supervision appearance program or ISAP, as we have updated you over the last couple of quarters, the utilization of this program has been increasing. The program is on track to average ICE’s objective of 53,000 participants. Similar to this important contract, over the last couple of quarters, GEO Care has implemented a new family case management program under partnership with the U.S. Department of Homeland Security. This groundbreaking program provides community-based case management services for families going through the immigration review process. Working collaboratively with all of our divisions, GEO Care has been able to build upon existing relationships with local community providers and expand our network of community partners in order to provide comprehensive services under this new program. This new program is indicative of our leadership position in the provision of community-based and case management services through our comprehensive GEO continuum of care. At this time, I will turn the call back to George for his closing remarks.
George Zoley : Thank you, Ann. We are very pleased with our strong financial performance for the second quarter and our outlook for the balance of the year. Our robust year-over-year growth has been driven by the activation of several important projects across our business units of GEO Corrections and Detention and GEO Care. These project activations are representative of our diversified growth platform and our ability to provide tailored real estate management and programmatic solutions across all segments of the Correctional Services spectrum. Our diversified growth and investment strategy has positioned GEO as the world's largest private provider of corrections, detention and community reentry and offender rehabilitation services. We remain focused on the effective allocation of capital to pursue quality growth opportunities. As a REIT, GEO is focused on providing essential real state solutions to government agencies in the fields of detention, corrections and post release facilities. Additionally as a service provider our commitment is to be the world's leader in the delivery of offender rehabilitation and community reentry programs. This commitment is consistent with the criminal justice reform efforts that emphasize rehabilitation and community reentry programs for offenders, which we view as positive for our company as evidenced by the continued growth in our diversified business segments. We are enthusiastic about our ability to deliver improved offender rehabilitation services through our GEO Continuum of Care platform, which we believe gives our company a competitive advantage when pursuing new projects. We believe this unique platform, better positions GEO to capture future growth, enhancing value for our shareholders and allowing us to continue to grow our earnings, cash flows and dividend payments. This concludes our presentation and we would now like to open the call to your questions.
Operator: [Operator Instructions] Our first question comes from Tobey Sommer of SunTrust. Please go ahead.
Tobey Sommer: Thank you. I was curious about your perspective with the housing of illegal immigrant families, then in the news that the court proceedings continuing. You mentioned the child care license. What is the customer saying – is the customer indicating that their intent is to continue to use the facilities that it currently is utilizing in the marketplace?
George Zoley : Yes, we believe that is the case and to give a little bit more background about our Karnes facility – this is George Zoley speaking. From our view there appears to have been a mission change for that facility. It's now a relatively short term facility with an average length of stay of seven days. During those seven days, individuals who are there receive their health care checkups, any treatment necessary, medications, they receive I believe six sets of clothing and they are well taken care of during that time and they coordinate with Ann's group for being placed either on electric monitoring or being resettled to other locations in the country. So in one respect it's almost like a reception center. But it certainly is a processing centers or with a short-term length of stay, nutritional meals, excellent health care and short-term stay the ICE has issued a request for information from other communities where the possible need of another 1,000 beds.
Tobey Sommer: With that shorter stay, is the – are all the services fully utilized like language classes et cetera?
George Zoley : No, there's less emphasis on academic programs as you would imagine for the children because they're for a fairly short period of time, but we still use all the classes, we just can't take them through the full curriculum.
Tobey Sommer: Okay, shifting gears to BI, it looks like there was a lot of growth year-over-year in the quarter. I did miss one number. How many people did you say you have under an array of technology products at this point?
George Zoley : Ann, could you address that.
Tobey Sommer: In the meantime what you're looking up that number, could you speak to the incremental margins of that growth, is incremental margin profitable?
Ann Schlarb: The number of folks that we're monitoring or supervising in the GEO Care division on any given day is about 142,000 and that could be on GPS, RF or suite of alcohol units, [indiscernible] or through just our call center.
Tobey Sommer: Would be incremental margins associated with that 23% growth year-over-year be kind of higher than the BI on average? Can you talk about that?
Brian Evans: Tobey, this is Brian. A lot of that growth as we mentioned before has been an increase in utilization of the Intensive Supervision and Appearance Program which is the ISAP contract we refer to it as ISAP contract with ICE. I think George mentioned how ICE has increased utilization of that in connection with the detention at the residential facility as well as our other ICE facilities, if people are released from those they may using Intensive Supervision Appearance Program or there's another contract we have, which is the case management program where they may be using those services as well. So that, both of those contracts are in and there's been some significant increase in the utilization of those contract over the last 12 months.
Tobey Sommer: Thanks. Two other questions for me, one if you could give some color on the North Lake facility and the opportunity within the state of Michigan as well as comment on whether the facility is profitable today. And then do you expect to renew your business under the CAR 16 procurement. Thank you.
Brian Evans: Sure I’ll touch on some of that and then I think Dave can give some color on what's going on with the Michigan facility, with the state of Michigan. But I think as we've addressed before the primary customer there is the state of Vermont we have a contract with the state of Vermont for up almost 700 beds. Currently it's about 300 to 350-bed, it fluctuates in that range that they're utilizing. As a consequences as we said before the facility is not currently cash flow positive. And we continue to look for additional clients to support the facility. You mentioned the state of Michigan has put forward some legislative effort to explore the possible sale or acquisition or lease of the facility. I will let Dave get some color on that as well as CAR 16.
David Donahue: Thanks Brian. As I indicated in my prepared remarks there were legislative efforts in Michigan to analyze the purchase and or lease of a facility in the jurisdiction. The Michigan Department of Corrections along with the state budget agency are currently involved in due diligence associated with that requirement in the General Assembly. I anticipate that a recommendation for the North Lake facility will be evaluated over the next several weeks and they report back to the General Assembly in mid October, relative to that potential opportunity. As it relates to CAR 16, we are optimistic that our projects will be reviewed favorably for continued use. We have a very good relationship with the Bureau of Prisons and our seven facilities with the 15,000 beds operational performances at the appropriate levels and exceeding our expectations and the client's expectations. So we have no reason to believe that they the client will not view them appropriately on a going forward basis.
Tobey Sommer: Thank you very much. I'll get back to queue.
Operator: [Operator Instruction] Our next question comes from Michael Kodish of Canaccord Genuity. Please go ahead.
Michael Kodish: Hey, Good morning guys. Great quarter, just a couple questions for me, just first of all on the new opportunities, I think we've been seeing a little bit of interest in the leasing – states leasing facility and I was wondering if you guys were seeing any of that in some of your idle facilities?
Brian Evans: Well Michael, as Dave just mentioned obviously in the case of the Michigan facility, there’s some interest there around potential leasing the facility. The other facilities that we have that are idle, at the potentials we are also working with the State of Alabama to potentially use the Pierre [ph] facility in Alabama and they’re exploring a number of different ways to utilize that facility that could include a possible lease, it could include the straight operations. We have to see how that works itself out of the next 12 months or so. Our Hudson, Colorado facility which is also idle as you know is a leased facility already. We leased that facility, so our main effort there is to try and reactivate it in the short-term before that lease expires. And then I think overall the opportunities of course lease back type transactions will probably be on existing government assets or new assets that we might construct as Dave mentioned to replace existing assets and then enter into some sort of lease back transaction.
Michael Kodish: Okay, that’s great color. And then I guess in general on Gad, it’s kind of been a little bit slower on the – seeing some of these RFPs kind of materialize, I mean are you guys kind of seeing that this is a result of the Presidential election or is that more from a pricing kind of point of view, why are we seeing maybe a little bit of a slowdown?
George Zoley : I think they want to make their decisions speak for at the end of the fiscal year. So that puts them into August, September timelines.
Michael Kodish: Okay, that’s helpful. And then on the BI side of things, I was kind of wondering what your market share is today and I’m wondering what’s out there as maybe a bit fragmented, if there be one-off acquisitions maybe like several existent, kind of where can that go.
Brian Evans: Mike, it’s very depending on if you look how you look at the units, but I think in total we’re clearly the largest and we’re 30% of the market approximately. There are a number of different other players out there in the market and if opportunities present themselves we might look at them. But you have to realize we think we have the best technology so, this is a technology business, and some of the growth in the contracts that we’re seeing are takeaways from other service providers and I think it’s because of the investments that we’ve made in the technology. And so it’s not necessarily the case that we look to acquire somebody for the technology is a potential maybe for the business, but we have to keep in mind that we’re making these investments in the technology to grow our market share.
Michael Kodish: Sure, that makes a lot of sense. And then just finally, Ann, I think you mentioned ISAP or I just want to go up to about 53,000 participants and I think that was their schedule. Where we are today and the what was their timeline to get into that 53,000?
Ann Schlarb: Their timeline was at the end of their government fiscal year, so we are ahead of their timeline and we’re just a bit over 56,000 today.
Michael Kodish: Wonderful, that’s all from me. Thanks a bunch guys, great quarter.
George Zoley : Thank you.
Operator: This concludes our question-and-answer session. I’ll now turn the conference back over to George Zoley for any closing remarks.
George Zoley : Well, thank you all for joining us on this conference and we look forward to speaking to you on the third quarter conference call as well. Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect your lines. Have a great day.